Operator: Greetings, and welcome to the CorEnergy Third Quarter 2015 Earnings Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this call is being recorded. It is now my pleasure to introduce your host, Lesley Robertshaw. Please go ahead.
Lesley Robertshaw: Thank you, and welcome to CorEnergy Infrastructure Trust third quarter 2015 earnings call. I’m joined today by Rick Green, CorEnergy’s Executive Chairman; David Schulte, CEO and President; and Becky Sandring, Treasurer, Secretary and Chief Accounting Officer. The presentation materials for this call, as well as information included in our press release issued Monday and an audio replay of this conference call will be available on CorEnergy’s Web site. We would like to remind you that statements made during the course of this presentation that are not purely historical may be forward-looking statements regarding CorEnergy or management’s intentions, estimates, projections, assumptions, beliefs, expectations and strategies for the future. All such forward-looking statements are intended to be subject to the Safe Harbor protection available under the applicable securities law. Because such statements deal with future events, they are subject to various risks and uncertainties and actual outcomes and results might differ materially from those projected in the forward-looking statements. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents can be accessed through the Investor Relations section of our Web site. We do not update our forward-looking statements. At this time, I would like to turn the call over to President and CEO, Dave Schulte.
David Schulte: Thank you for joining our call today. We closed on our acquisition of the Grandall Gathering System in June 30th, so the third quarter represents a full run rate for all of our assets. The cash flows allowed us to increase our quarterly dividend to $0.15 per share, or $0.60 annualized as expected. This was our fifth dividend increase since beginning our transition to a REIT in 2011 and we believe our stable contracted revenue from our tenants and customers will allow us to maintain our dividend even in this time of volatility in energy markets. In the quarter, we also established a reserve for a potential loss on our financing notes for the Black Bison salt water disposal investments as well as earnings on those notes. And we do continue to assess various investment opportunities as energy companies are open to exploring financing solutions such as ours. As of September 30th we had just over $100 million available for future investments, allowing us flexibility and timing and financing of those acquisitions. Finally, we announced that our Board approved a 1-for-5 reverse stock split, which should begin trading on December 2nd. We believe this action will help CORR attract a higher level of investor interest due purely to technical factors, while lessening our stock price volatility. And moving to Slide 4, you’ve seen this slide before, so I won’t go through it. The main point is to reiterate that we are delivering on the fundamentals of our strategy. By direct ownership of infrastructure assets, with reliable and contracted revenues, the base of our strategy is an assessment of both the economic viability of the asset and tenant dependence on that asset. We have conviction that our payments will continue even if the ownership of the tenant changes during the term of our lease. That is because our assets are essential to access revenues and produce cash flows for the tenant. We own assets which would be expensive and difficult for an operator to duplicate. Moving to Slide 5, our revenue results from reservation charges and leases for the use of our assets; they are predictable because base rents from reservation charges mitigate commodity price risk and volume risk. While our participating rents and CPI escalators allow for potential upside. Upon we believe this is integral to our identity as a REIT, but often misunderstood, is that the payments our tenants make to us are operating expenses. These rents need to be paid in order for companies to access their revenue producing assets, such as oil and gas reserves. This expense is paid before debt or equity investors receive their payments, so it’s an important priority for our companies. We complete a thorough due diligence process of the value of our assets over their useful lives, and set contract terms to allow both the return on and return of our capital. That return of capital might come from the rents we receive or from the terminal value of the asset we own, or both. Let’s look at how we do this on Slide 6. Across the top, you will see each asset that we acquired since we became a REIT, and the material customers or tenants of those assets. Now the range of cost of those assets to us is between $50 million and $250 million. That’s consistent with the backlog of opportunities we have and have had since we started this effort. The percentage of each of those assets for us is meaningful. For example, 30% of our assets are represented by the Pinedale LGS. But the percentage that those assets represent to our counterparties is not significant. We believe the enterprise value of our counterparty is the best measure of their economic dependency on our asset and so as their other assets. And in Ultra Petroleum’s example, that’s $4.2 billion. That enterprise value would result in only approximately 5% of their total value in that liquids gathering system. Similarly, the $257 million value of the Grand Isle Gathering System represents only 6% of the enterprise value of Energy 21. Similarly, the annual cost of these assets in rent to those counterparties is not meaningful as a piece of their total expenses. The $20 million that we received from Pinedale represents only about 3% of the operating cost of Ultra Petroleum and that’s about the same percentage for Energy 21, represented by the Grand Isle Gathering lease. On the bottom of the chart, we consider whether we need to receive a return of capital during the term of our lease, for assets with finite lives such as energy production backed pipelines, we have scheduled return of capital as an expectation inside the rents we receive as well as the potential additional terminal value at the end of the first lease term. On the other hand, with Portland and MoGas, we expect terminal values to be consistent with our purchase price. And so our leases there do not need to incorporate additional returns on capital in the rental stream. Sorting all that out, we intend to only pay out the level of cash and dividends we believe to be sustainable after providing for our return of capital for those leases for which it’s appropriate. Our Chief Accounting Officer, Becky Sandring will next provide an overview of our financial results for the second quarter. Becky?
Becky Sandring: Thank you, Dave. This week we filed our 10-Q for the quarter ended September 30, 2015. For purposes of this call, we have provided a few key financial metrics that we think will be helpful to you in evaluating CorEnergy’s performance and expectations. On Slide 7, we show FFO as calculated by NAREIT, FFO adjusted to take out the effect of private equity and adjusted FFO. A reconciliation of these measures to net income is provided in Slide 14 of these materials. The third quarter AFFO is $0.20 per share on a fully diluted basis. The provision for loan losses associated with Black Bison increased expenses by approximately $7 million net of taxes or $0.09 per share. To calculate AFFO we add back the $0.06 as it is non-recurring in nature. The AFFO as presented is also after the reserve for interest income on the Black Bison financing. Turning to Slide 8, as we look at the slide, total assets have grown substantially since year end 2014 due to the GIGS acquisition. Quarter-over-quarter assets remained stable at $690 million net of a minor negative effect from the salt water disposal investments and depreciation. Contribution margin is a measure of the earnings from our assets and operations and the results have grown along with our assets. The large increase is attributed to higher lease revenues from the addition of GIGS to our portfolio, slightly offset by lower financing revenues. We believe the $20.9 million act as a good quarterly run rate for the contribution margin from our assets. Annualized, we expect $85 million in contribution margin. This supports an estimated 12% return on our assets which has increased from roughly 7% last quarter. On the right we present how our dividend per share have grown. Our Board declared a $0.15 per dividend share for the quarter or $0.60 annualize. This is net of our reserve for uncollectible interest. Turning to Slide 9, we have an overview of our capital structure and liquidity. As previously disclosed, we strengthened our financial structure in early July and our capitalization as of September 30th is summarized in the top half of the slide. Once again, the two ratios that we pay attention to remained within our targeted ranges. Our total debt to total capitalization ratio of 34% remained within our target of 25% to 50%. The second ratio differed to total equity at 13%, which is well below our target level of 33%. Our liquidity was in excess of $106 million at the end of the third quarter and again demonstrates our ample availability to act on investment opportunities without the need to raise additional capital through the market. We have developed and maintained relationships with potential co-investors. Therefore, we are comfortable with our ability to pursue acquisition targets with financing that is most beneficial and accretive to our stakeholders. And with that I will turn it back to Dave.
David Schulte: Thanks Becky. In our overheard in the Corridor discussion on Slide 10, we want to compare the CorEnergy dividends with the dividend stability of other real estate investment trusts. We’ve been having many conversations with our investors about differences we might have from other REITs. And as we pointed out on this call, some of our assets do have finite lives, unlike the typical office building or apartment complex and REIT. So as we discussed our rental stream and renewal expectations need to accommodate the potential for lower terminal value where appropriate at the end of the lease. If you think of our revenue stream as the top-end of a funnel, then we would take out not only our operating expenses, but the amounts of those rents necessary to protect our capital or return capital during the term of the lease. But then comes out, the bottom of the funnel would be the amount we believe is a sustainable distribution like every other real estate investment trust that pays a distribution today. We do have like other REITs some level of inflation protection. We believe that an increase in inflation would have an upward bias on our contracts due to our CPI tied rent escalation and participating features in asset utilization or value if any. So we believe that the distribution received is just as reliable as any other real estate investment trust. Finally on Slide 11, CorEnergy’s contracted rents on critical tenant assets underpin our dividend. Our contracts with our tenants and customers limit our risk to volatile energy markets, because rents is considered an operating expense and will be paid and is necessary to receive in order to get access to the assets that generate revenue for our customers. As a critical expense, similar to utility cost, we believe we have a higher priority of payment due to our direct ownership of the underlying asset. We set our rent to allow for return on and return of our capital where appropriate. The resulting dividends we believe are sustainable, even after providing for that return of capital for reinvestment in our asset portfolio. Finally we’ve committed to not acquiring additional assets unless our shareholders receive benefits from that acquisition and then the third quarter we delivered on that promise again. I’d like to open the line to any questions. Operator?
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question today comes from Selmon Akyol from Stifel. Please proceed with your question.
Unidentified Analyst: This is [Koi Pride] on for Selmon. I had a question about the current treatment on the GIGS revenues? So I saw that your straight linings revenue recognition over the like for lease, and so that incremental piece between the first year contracted payments and straight line amount -- is that backed out in the FFO calculations at all?
Becky Sandring: No it is not. The FFO calculation show it as a run rate, that’s how folks understand kind of the coverage is on things. So we are not adjusting for that.
Operator: [Operator Instructions] Our next question today is coming from Nick Brown from Zazove Associates. Please proceed with your question.
Nick Brown: Hi, appreciate your comments about the critical math of your assets to your tenants. I just was curious, so given Energy 21’s widespread or news of their distress and how you view your GIGS system and the continued importance to them?
David Schulte: Energy 21 had their earnings announcement earlier this week, and I think had a call wherein they described process that is underway to exchange their debt and they’ve retired $800,000 to $900,000 on the face value of their unsecured debt and around $0.20 on a dollar, resulting in material and savings and interest expense which further reduces their cost per barrel of production and we believe enhances the long term viability of that enterprise. They’ve done a fine job with their cost structure and that’s one of the things we’re most concerned about is, are they bringing down breakeven operating cost to a level whereby we expect and they expect to continue producing. And even at these oil and gas prices, it’s still economic for them to continue production. And so we’re content with that asset today and I think the illustration we gave of enterprise value is really important. All of their debt is dependent upon continued access to their reserves just like their equity holders. The enterprise value of that company certainly includes reserves beyond the GIGS system, but the parent company is a guarantor on the lease and so we look at the entire enterprise value as relevant to the ability of the company to make our payments.
Operator: Thank you [Operator Instructions]. If there are no further questions at this time, I’ll turn the floor back over to management for any further or closing comments.
David Schulte: In closing I guess I want to reiterate three key points. Our contracted lease payments are considered operating expenses for our tenants, and I know we’ve talked about that before. But that means in our view they’re senior to other financing costs and are necessary to access their cash flows. They’re high up on the cash flow waterfall. These payments are small compared to the overall expenses. Our assets are essential but not expensive for our tenants and customers to operate. Again, we think reiterating the likelihood that we would continue to receive payments in any event. And finally, after we place our capital and provide reinvestment, we then deliver our dividends so we believe they are very stable and have indicated an expectation and delivered on that expectation of growth over the long run. Thanks for your continued support of CorEnergy, and we’ll talk to you again next quarter.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.